Operator: Good morning. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Steelcase First Quarter Fiscal 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Mr. O'Meara, you may begin your conference.
Mike O'Meara: Thank you, Sarah, and good morning, everyone. Thank you for joining us for the recap of our fiscal -- our first quarter fiscal 2025 financial results. Here with me today are Sara Armbruster, our President and Chief Executive Officer; and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our first quarter earnings release, which crossed the wires earlier today, is accessible on our website. This conference call is being webcast, and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted to ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release, and we are incorporating by reference into this conference call the text of our Safe Harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I will now turn the call over to our President and Chief Executive Officer, Sara Armbruster.
Sara Armbruster: Thanks, Mike, and hi, everyone, and thanks for joining our call today. It's been about a year since we hosted our Investor Day where we shared an update on our strategy to lead the transformation of the workplace, diversify the customer market segments we serve, improve our profitability, and use our business as a force for good. And today, I'm excited to share additional areas of progress from the last quarter. We continue to help people do their best work by creating places that work better. We are focused on leading our industry and the transformation of the workplace and growing our market share. And as we meet with customers, they continue to describe their efforts to bring people together and to support their company culture. And our innovation and our solutions fit what those customers need. I recently spoke, for example, with an executive leading the company that is in the middle of building a new global headquarters. This organization established its vision for the building to engage employees and drive high performance. They're interested in solutions that integrate with technology, experiences that drive employee wellness and partners to support their sustainability objectives. The Steelcase offerings deliver on those needs, which gives me confidence that we're providing what customers need to transform the ways their organizations work. As we think about our diversification efforts, we're making progress in expanding our offering to reach new customers and markets. Earlier this month, we participated in NeoCon where we showcased several new solutions to foster better connections, increased privacy and high-performance ancillary spaces. So, let me highlight three solutions that we launched this quarter. First, we expanded the Ocular collection, which offers a range of products designed to create experiences that are more engaging, equitable and empowering in the hybrid workplace. Our newest product called Ocular View was co-developed by Steelcase and Logitech. It's an immersive, realistic and personal meeting experience that brings together digital and physical elements to achieve increased social connection and privacy, which are top priorities for employees. Second is our Campers & Dens solution from our Orangebox brand, which is a great example of innovation that can be adapted to a broad range of customer and geographic market needs. It was inspired by the intuitive way people socialize and interact in a campground. And this system of interior architecture, campers, cabins and awnings can be configured in a wide range of ways to create enclosed or semi-enclosed and open spaces within the office environment, supporting the many ways people connect in the workplace. And finally, we're excited to unveil a new chapter in our creative collaboration with the Frank Lloyd Wright Foundation, an ongoing project to reintroduce, reinterpret and reimagine Wright's celebrated designs. The Rockford and Galesburg collections, which are new interpretations of fine modern furniture for the home and workplace, draw upon a later era in Wright's work and are rooted in his unmistakable design principles. This partnership helps us strengthen our brand and create interest among new customers. Now, turning to profitability. Our first quarter results reflect strong earnings growth despite revenue being slightly below prior year as we continue to make progress on our profit improvement initiatives. Our adjusted earnings per share of $0.16 was an increase of 78% versus last year. And for the eight consecutive quarter, we drove year-over-year gross margin improvement. Our sales teams continue to capture the necessary price increases to offset the inflationary costs we've absorbed over the past few years. Our operations leaders have continued to implement additional cost reduction initiatives such as distribution center closures and optimizing our production lines. And our employees continue to find efficiencies to support our fitness efforts and optimize our spending. So, all of these things are helping improve our overall profitability. And these profit improvement efforts are also helping enable our investment to support growth initiatives and business transformation work. As we look at our segment performance, the Americas had another good quarter due to gross margin improvement. Our International segment posted adjusted operating income of $2 million, which was a $7 million improvement versus the prior year. This International improvement continued to build on the strong momentum we saw during the second half of fiscal 2024 when we focus on reducing our cost structure to support improved earnings and to enhance our competitiveness. Our overall order growth remained strong for the third consecutive quarter as we drove 8% order growth in Q1 with the Americas up 10%. Similar to the previous two quarters, strong growth from large companies helped drive the Americas improvement, but orders also grew across all our other customer segments, including notable growth in our education business at the start of the peak education season. Our win rates remain strong as our solutions continue to resonate with companies investing in their offices. Finally, as we think about our efforts to use our business as a force for good and design better futures for people and the planet, we're excited to share that Steelcase recently announced a commitment to reach net zero by 2050. This means cutting carbon emissions over 90% by 2050 throughout our entire value chain. We worked with the science-based targets initiative to validate our near-term and new net zero targets, and we are proud to be the first in our industry to publish a transition plan outlining our path to net zero. We believe this new commitment will create a competitive advantage by helping our customers reach their own sustainability goals, and as a result, generate more opportunities to grow our business. Many of our customers already have made net zero commitment and we expect more will follow. So, in closing, our first quarter results were a great start to fiscal 2025 and we believe that momentum will continue into the second quarter. Dave will discuss our outlook in more detail, but we feel great about where we're projected to be halfway through the year. We feel positive about the balanced progress we continue to make against our strategy to lead the transformation of the workplace, diversify the customer and market segments we serve, improve our profitability and use our business as a force for good. I'll now turn it over to Dave to review the financial results and our outlook.
Dave Sylvester: Thank you, Sara, and good morning, everyone. My comments today will start with the highlights related to our first quarter results, balance sheet and cash flow. I will then share a few summary remarks about the strength of our outlook for the second quarter and our increased confidence of achieving our fiscal 2025 financial targets. Our first quarter adjusted earnings of $0.16 per share were above the top end of the estimated range we provided in March and our revenue of $727 million was at the midpoint of our range. The Americas drove the earnings favorability on strong gross margin, which was driven by higher pricing benefits, lower inflation and improved operational performance. International results were also better than we expected, as favorable gross margins and lower spending more than offset a small shortfall in revenue. Compared to the prior year, our adjusted operating income was $9 million higher, including a $7 million improvement in our International segment, which reflected benefits from the restructuring actions we implemented last year. As it relates to cash flow and the balance sheet, we consumed $59 million of cash from operating activities in the first quarter as our seasonal disbursements related to fiscal 2024 variable compensation and retirement plan contributions were higher than our $61 million of adjusted EBITDA in the first quarter of fiscal 2025. We also repurchased 1.5 million shares under our repurchase authorization this quarter at a total cost of $19 million or at an average price of $12.48 per share. Our liquidity totaled $378 million at the end of the quarter, which is $178 million higher than the prior year, in part due to a significant reduction in working capital, which was elevated in the prior year due to supply chain disruptions. Total debt aggregated to $447 million. Our trailing four-quarter adjusted EBITDA is $274 million or 8.7% of revenue, which is 150 basis points higher than the same timeframe last year. Orders in the quarter grew 8% compared to the prior year, including 10% growth in the Americas and 2% growth in International. The growth in the Americas was broad-based across all of our customer vertical markets, but was led by strong project business with large corporate customers as well as strong growth from the government sector and in our education business, including K-12 at Smith System. Continuing business or day-to-day orders from large corporate customers declined modestly in Q1 compared to the prior year after growing year-over-year in each of the previous four quarters. Q1 marks the third consecutive quarter of year-over-year order growth, which has been driven by both pricing and volume. And we believe the growth in our project business is reflective of our strong win rates in fiscal 2024 as we continue to support our customers' workplace strategies. The order growth in International was driven by 4% growth in EMEA, which reflect growth in several markets and a decline in Germany, while Asia Pacific declined 3% as declines in most markets were partially offset by strong growth in India. Turning to our outlook for the second quarter. We expect to report revenue within a range of $850 million to $875 million, which would reflect 1% to 4% organic growth year-over-year. As I mentioned, our first quarter orders grew 8% versus the prior year and our backlog was up 1%. Orders during the first three weeks of the second quarter declined by 2%, reflecting growth in the Americas and a decline in International compared to the same period last year, which included some larger projects in the International segment. As it relates to earnings, we expect to report adjusted earnings per share of between $0.36 and $0.40, which compares to $0.31 in the prior year. In addition to the projected range of revenue, the adjusted earnings estimate includes estimated gross margin of approximately 35%; operating expenses of between $240 million to $245 million, which includes $4.3 million of amortization related to purchased intangible assets; and lastly, we expect interest expense and other non-operating items to net to approximately $3 million of expense and we're projecting an effective tax rate of approximately 27%. In March, we outlined our fiscal 2025 full year financial targets, which included organic revenue growth of 1% to 5% and adjusted earnings per share of $0.85 to $1. Based on the strength of our first quarter results and our second quarter outlook, we have increased confidence of achieving our targets and potentially reaching the higher end of the range for our income targets, assuming relatively stable macroeconomic and geopolitical environments. In summary, we feel great about our first quarter financial results and our outlook for the second quarter. And as Sara said, we believe our strategy is working and we're continuing to make progress on our most important initiatives. From there, we'll turn it back to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Reuben Garner with Benchmark. Your line is open.
Reuben Garner: Thank you. Good morning, everybody.
Dave Sylvester: Hi, Reuben.
Sara Armbruster: Good morning.
Reuben Garner: Congrats on the strong start to the year. I guess, Dave, can you start -- the gross margin performance in particular in the first quarter was very strong. The outlook for the second quarter looks to be -- point to similar year-over-year improvements despite the fact that your kind of revenue growth from the recent order strength hasn't started to kick in yet. Can you talk about what drove the improvements on a year-over-year basis and maybe how to think about that gross margin line as the year progresses?
Dave Sylvester: Yes. Like I said a second ago, a number of factors including remaining pricing benefits from actions that we took last year that are posting some year-over-year benefits, strong operational performance as well was a contributing factor and really across many fronts in the plants. I think we also might have had a tad of favorable business mix in the quarter, but everything was moving in the right direction in the first quarter for us. And with the second quarter and the strength of our education business, we get such a terrific absorption of our overhead and fixed costs, because we ship so much product in that short three-months period that we expect our gross margins and the strength year-over-year to continue into the second quarter.
Reuben Garner: And that business mix, what kind of items are driving the growth in this environment that's leading to business mix benefit?
Dave Sylvester: I don't know all the details, but oftentimes we see product mix shifts that are a little bit favorable to us. We see customer mix shifts that can be favorable. We see quote type mix shifts. So, I don't know the details of what drove the favorable mix year-over-year. We might have had a large project in last year that was more significantly discounted for an example. I just -- I don't know all the details.
Reuben Garner: Okay. And then, Sara, you just mentioned NeoCon. I'm sure you got a chance to talk to some of your customers there. Any consistent feedback? And does it feel like there's a kind of a turning point here in terms of the return to the office and the need to get folks back in and therefore kind of put more investment in the office, or did it kind of just feel very similar to a year ago from your standpoint?
Sara Armbruster: Well, maybe I'd break that question into a couple of parts. So, in terms of feeling the need to get people back to the office, I think we've seen very consistently strong desires from CEOs and decision makers and executive teams for some time to do that. So, I think the desire has always been there. The distinction has been who's making or taking action and when. And I think we definitely saw high-quality visits at NeoCon. We saw a lot of customers, a lot of customers in architecture design firms that had projects that were actively working on things versus window shopping. So that was good to see. I think we also saw a really healthy diversity of clients. So, as you would imagine lots of domestic or North American-based clients, including a pretty strong contingent from the West Coast, which was nice to see, but we also had quite a bit of traffic and visits from clients or potential clients from Europe as well as Asia. So, I think, that all felt like positive momentum continuing to support some of the things that Dave was talking about in terms of our outlook.
Reuben Garner: Okay. Great. I'm going to sneak one more in. Your growth initiatives outside of kind of the core corporate office, you mentioned education being pretty strong. This is obviously an important season for that business. Any other color on any of the other initiatives? Anything new to report in terms of growth efforts there?
Dave Sylvester: Yeah. As I said, all of the customer vertical markets that we're focused on grew versus prior year. They also were at or above our plan or our expectations for the first quarter. So, we feel really good about the breadth of the strength in Q1. Large project activity from our enterprise or large corporate customer segment really was very strong in the quarter. But when we look at education, they had strong growth and where we wanted them to be. Small to mid also -- size businesses also had a good quarter and grew orders year-over-year. Healthcare, which has continued to be challenged by administrative settings and lower investment there that we've seen for a while, we posted order growth from healthcare. And even in the retail and consumer, which is a smaller vertical market for us, that grew as well. But the big driver was large corporate.
Reuben Garner: Great. Thank you, guys, and good luck for the rest of the year.
Sara Armbruster: Thanks.
Operator: Your next question comes from the line of Greg Burns with Sidoti & Company. Your line is open.
Greg Burns: Good morning. At your Analyst Day, you laid out, like, a midterm target of $50 million in savings, I think, mostly around the cost of goods line. How far along are you in the progress towards that goal?
Dave Sylvester: I would say mid to early innings on it, Greg. We accomplished a number of improvements that we feel really good about, teams worked really hard on and they're driving year-over-year benefits. The challenge is, as we have some offsetting other factors, so we're not seeing the net improvement that we would like to see yet. They are also in the midst of launching a number of additional initiatives. You've read about some of them periodically. You'll read about some of them in the Q when we file that tomorrow. We give more color in the Q behind some of the restructuring activities that we're taking. We feel pretty good about it. We just have had some other challenges that have dampened the net impact of gross margin improvement. We're still seeing year-over-year benefits in gross margin, which is, of course, in part due to the actions and activities that the ops team is driving, but we're hoping to see more significant net improvements outside of pricing, net of inflation and benefits from volume growth and business mix shifts. So, I'd say we're in the early to mid innings on that and have gains in front of us yet.
Greg Burns: Okay. So then, I guess, when we think about where the gross margins can go from here, do you think they could get back past prior peaks? Like, do you feel like the business should be operating at a structurally higher gross margin once this is all realized?
Dave Sylvester: Yes.
Greg Burns: Okay. All right. And then, in terms of demand, is there -- how much of this is, like, pent-up from maybe delays that happened as -- due to work -- return to work being maybe slower than expected? Because when you look at some of the market indicators that we typically would look at to gauge demand, like the ABI index, still remains kind of subdued or in negative territory. So, can you just help us triangulate maybe what's driving the demand here and how sustainable it is?
Dave Sylvester: It's a good question. I don't know that I have data behind us. So, this is, I guess, what I think and I'm interested what Sara wants to build on it, but I don't think that a big part of what we're seeing right now is due to delays. I think we saw that a couple of years ago, right? As we went into the pandemic, everything stopped, then things that were in flight really, let's say, late in flight projects were finished that were paused, but many things were put on hold for six months or 12 months and then they restarted, which I think is what drove kind of the initial rebound that then softened again because of new variants of COVID, lack of return to office, economic uncertainty. This feels like more of a restart. I'm sure there are some projects in there that were thought about years ago that were placed on hold and are restarting, but when I think of some of the large project activity that are starting to show up in our order patterns, these are things we've been working on for quite some time and I don't believe they were slowed down necessarily during the pandemic. And -- is that helpful? I mean, that's about as much color as I can give you. Let's see what's Sara has.
Sara Armbruster: Yeah. Maybe I agree with that and maybe I'll build on it. I mean, I think, as we've always seen, we've always seen clients that are kind of operating at a different place on the spectrum from, say, kind of progressive and leading to maybe more conservative or lagging. So, we definitely see clients who had spaces that were perfectly good spaces before the pandemic, but they're continuing to invest and update them to try to bring an even more modern perspective to how their organizations are working. We also see a group of clients who I would say maybe had more traditional spaces or maybe their spaces were already somewhat outdated before the pandemic. And with years having passed now since 2020, they're realizing they're even more out of date and they have to do something to make those spaces compelling and attractive and frankly functional. And then, there are also clients that are growing. I mean, I talked not that long ago to a CEO of a major financial services institution who was sharing with me that, during the pandemic, they shed a number of leases, but at the same time, they were also continuing to hire. They hired thousands of people. And now that they're getting people back to the office, he said even if only a fraction of those people actually go to the office, they have no place for them to go. So, he was describing how they are actually leasing new space and expanding because they need a place for all the hiring that they did over the past couple of years. So, I think there's -- as Dave said, I don't think we can give you precise data, but I do think we feel that there are multiple drivers depending on kind of which clients are in which category that give us, I think, some degree of optimism as we've been talking about for continued momentum.
Dave Sylvester: Maybe one other comment, Greg, is that you probably see the same industry data that we see from BIFMA. It's not perfect. It doesn't include everyone in the industry, but it's the only industry information that we have. And the industry has been growing modestly more recently, but we've been growing at a faster rate and we think that's linked to our strong win rates, that's linked to us staying invested and where we think work is going in this kind of hybrid world go forward. So, I think another factor is even though the ABI might be sluggish and the industry is growing modestly, we've been doing better than that because we've stayed focused on the office and stayed invested in how we thought the office needed to change to support hybrid work. So, I definitely think a factor in there is some share gain.
Greg Burns: Great. Thanks for the color.
Operator: Your next question comes from the line of Brian Gordon with Water Tower Research. Your line is open.
Brian Gordon: Good morning, and thank you for taking my question. First of all, I would just want to say, Budd apologizes for not being able to make it to the call today. He's on the road and was not able to dial in, but wanted to congratulate you guys on the great margins and the progress you guys have seen there.
Sara Armbruster: Thanks.
Brian Gordon: I had a question sort of about how -- so let me say it this way. How are customers kind of thinking about as they're thinking about redesigning their offices for hybrid work, about things like, space per employee and spend per employee? And how has that been changing when we compare what's going on today versus pre-COVID?
Sara Armbruster: Well, one thing we've seen with respect to space per employee and, again, I don't -- I can't give you really precise data, but I can't think of a number of clients right off the top of my head who have been thinking about somewhat increasing space for employee. I think a couple years ago, that was driven more in the immediate aftermath of the pandemic by people not wanting to be quite so close together. But I think since then, it's really reflected in evolution and how we think about how people work and creating ancillary spaces, creating social spaces and more informal spaces, adding solutions like Ocular View or Orangebox Campers & Dens into their floorplate to provide different levels of privacy, technology support, et cetera. So, while I can't give you an exact metric, I would be willing to bet that, that space per employee number is at least stable, if not potentially increasing a bit in some organizations.
Dave Sylvester: Yeah, I would definitely agree with that. I mean, it's hard to point at concrete data, but I mean, we are selling fewer benching applications, which were really the design philosophy was really around density. And we are now selling more freestanding furniture and we are selling more screens and partitions and architectural pods and walls and other applications that kind of divide up the space and it's all linked I think to the need for privacy. One of the largest complaints about the office before the pandemic was the lack of privacy. People found privacy in their homes. They were able to do their focused work. And as they come back to the office, they struggle to find privacy and they need to be on video periodically, oftentimes not necessarily supported by a conference room or a suite where technology has been embedded. So, they need to take video occasionally at their desk and you cannot do that in the open plan at a benching application or you can't do it very effectively. So, what we see is this increased desire for privacy. And in some cases, there was actually a recent article about this as well, a little bit more toward ownership. I don't think the pendulum is going to swing all the way back to one-to-one desks per employee, but it swung a long way toward shared in the open plan and to enable privacy, it might move a little bit back toward owned and certainly embed more privacy elements in the open plan. And then of course, all the collaborative references that Sara mentioned are a big deal. Conference rooms were not designed to support hybrid collaboration. They were designed really to share information with people that were predominantly if not entirely in the room. So, I think there's lots of arguments that suggest the spend per employee or spend per workstation, let's say, is increasing.
Brian Gordon: That's great. Thank you so much for that. Just really one quick follow-up. How do you think this should affect when we're doing our modeling? How we think about things like margin instruction and replacement cycles?
Dave Sylvester: I think from a margin perspective, we really don't have products that are significantly different than other products in their gross margins. I mean, I think it's well known and understood in the industry that seating has a higher gross margin than average gross margins inside of companies in the industry and it's true for Steelcase. It's because of all of the intellectual property and investments that are made into those products and the lifecycle of those products as well. So, gross margin can be a little bit higher than average. As far as the general lifecycle, we do -- we have believed that that was shortening. In the world of cubicles, 20-plus years ago, I mean, they didn't really wear out. So, many clients use them for a long time. And it's not that products are wearing out faster, it's that there is so much change that is impacting work and so many different design elements that are being embedded into the solutions that is causing more churn inside kind of an office structure, whether it's the conference rooms need to embed technology more effectively or we went for the open plan and shared desking and benching applications and now we need to move to more freestanding, height adjustable and privacy. There's more embedding of social spaces that allow for more informal collaboration. All that change, I think, is happening more frequently because of how work is changing.
Brian Gordon: Great. Thank you very much.
Operator: Your next question comes from the line of Steven Ramsey with Thompson Research Group. Your line is open.
Chris White: Good morning, everyone. This is Chris White calling in for Steve, and thanks for taking my questions. I wanted to follow-up on a return-to-office question. It seems like that's been the major topic for the past couple of years. But now, based on recent results and the conversational tone at NeoCon, it was less about return to office and more about the hybrid models. There, you mentioned the Ocular collection to open the call. So, my question is, do you think that return-to-office chapter is over? And are we now instead focused on kind of implementing the hybrid model instead of -- seen as highly valued in our company spending to make them functional and attractive?
Sara Armbruster: Hi, Chris. It's Sara. So, great question, and here's how I would think about that. As we think about return to -- I'll separate return-to-office from the hybrid model, because if you think about it, back in February of 2020, before the pandemic, there were a few organizations that were strictly 100% in the office then, right? We work with a lot of clients where people, especially white collar employees, had some degree of flexibility, had different models. So, I think in some ways, the pandemic has really just accelerated or pushed forward a trend that was already happening. So, I think hybrid was something that we were focused on even before the pandemic. We really doubled down on hybrid and our investments and solutions to support hybrid work during the pandemic. And I think those are the things that we've been launching and will continue to come to market. And we hope to kind of reap the benefits of having the right solutions for the moment. So, I think we definitely still see lots of organizations thinking about and working on what hybrid means for them. And those decisions -- as they make those decisions and evolve that thinking, we believe will continue to drive demand for our solution. With respect to return-to-office in terms of just simply, like, getting people back for -- back to the office at all, I don't think we're anywhere near done. I would describe the progress that we've seen or the evolution we've seen in terms of organizations, taking steps or taking more significant steps to really define how their organizations are going to work, we've seen that happening, and I think we continue to see that happening. And again, I was at an event with a group of CEOs two weeks ago and was seeking to one individual, again, a Fortune 100 company who shared with me that, like, that very day, they had announced that they were moving from four days a week, to five days a week, right? And I do hear stories like that, or they're going from three days a week to four days a week. So, I think it's a -- I'll say, a steady march. It's not a sprint, but it's a steady march. And I expect we'll continue to see organizations moving back toward a significant amount of in-person week, not a 100%, but in-person work still matters, and the spaces in which people come together to do that work still matter. So, we still believe that's likely to be what's in front of us.
Chris White: Great. Thank you. And then, following up on a question you had -- comment you made about a financial company hiring thousands, are you starting to see kind of green shoots of traditional business coming back where people are actually hiring and expanding in a traditional sense?
Sara Armbruster: I'm not sure if -- I'm not sure I'm exactly following traditional sense, but, I mean, we do. I mean, we -- again, we work with clients across every part of the world and every industry. And so, I can't say that universally all of them are hiring. But there are industries and there are clients and there are parts of the world where we still see growth. India as an example, certain sectors and certain clients where they are growing, they're investing, they're adding to their workforce and they are taking advantage of whatever the factors might be in their particular industry or markets that allow them to capture that growth. So, I think we continue to see that even in spite of some of the headwinds that also exist in certain places and parts of the world.
Chris White: Great. Thank you. And last question, you called out education a couple of times in the press release and on the call. I'm wondering, are you seeing an uptick in education due to kind of previous federal stimulus dollars or are these traditional state-led funding initiatives? And are you seeing strength in any particular regions? Thanks for taking my questions.
Sara Armbruster: Sure. So, first of all, yes, the stimulus spending or stimulus dollars in the US has certainly had a noticeable impact on investment in education and investment in educational facilities that we've seen now. I think we continue to see that to some degree. So that's been a certainly a driver of demand. But we also see certainly some state-led efforts in education as well. I was in Texas a couple months ago and had the opportunity to tour a couple of high schools and some public school districts that were just phenomenal examples of some of the just -- as an example, some of the decisions that the state of Texas has made in terms of supporting and funding K-12 education. And I think we see that as well and enjoy the benefit of that as well, so at least with respect to K-12. And then, I think with higher education, we continue to see what we've seen for some time, which is, I'll say, maybe it's a war for talent. Universities are trying to continue to attract students. They're trying to attract world-class faculty. They're trying to attract research or other kinds of investment dollars. So, we still see that playing out in terms of many universities and higher education institutions making investments in facilities. So, I expect that we'll continue to see that going forward. That seems to be a trend that we've enjoyed the benefits of that for some time, and I think, that feels like that's going to be somewhat [persistent] (ph) would be my guess.
Chris White: Great. Thank you, again.
Operator: There are no further questions at this time. Ms. Armbruster, I turn the call back over to you.
Sara Armbruster: Great. Well, I just want to thank all of you for joining us this morning. As always, we appreciate your interest in Steelcase, and I hope you have a great day.
Operator: This concludes today's conference call. We thank you for joining. You may now disconnect.